Operator: Good afternoon, ladies and gentlemen, and welcome to Capstone Copper's Fourth Quarter 2024 Results Conference Call. [Operator Instructions] This call is being recorded on Wednesday, February 19, 2025. I would now like to turn the conference over to Mr. Daniel Sampieri. Please go ahead.
Daniel Sampieri: Thank you, operator. I'd like to welcome everyone to Capstone Copper's Q4 2024 Conference Call. Please note that the news release and regulatory filings announcing Capstone Copper's 2024 fourth quarter financial and operational results are available on our website and on SEDAR+. If you are logged into the webcast, we will advance the slides of today's presentation, which are also available in the Investors section of our website. I am joined today by: our CEO, John MacKenzie; our President and Chief Operating Officer, Cashel Meagher; our SVP and Chief Financial Officer, Raman Randhawa; and our SVP Risk, ESG and General Counsel, Wendy King. Our Head of Chile, Jim Whittaker; and our Head of Technical Services, Peter Amelunxen, are also available at the end of the call for questions. Please note that comments made on the call today will contain forward-looking information within the meaning of applicable securities laws. This information, by its nature, is subject to risks and uncertainties, and actual results may differ materially from the views expressed today. For further information on the risks and uncertainties pertaining to our business, please see Capstone's most recent filings which are available on our website and on SEDAR+. And finally, I'll just note that all amounts we will discuss today are in U.S. dollars unless otherwise specified. Now, I'll turn the call over to John MacKenzie.
John MacKenzie: Thanks, Daniel, and hello to all of you dialing in from the Americas, Europe, Australia and all around the globe. We're pleased to present our fourth quarter 2024 results and achievements. 2024 was a big year for us as we commissioned and ramped up Mantoverde and achieved design throughput rates at Mantos Blancos. This coming year represents an inflection point with our recently released 2025 guidance, demonstrating increased cash flow generation, strong copper production growth and lower costs. We'll be focused on operational execution across our portfolio and further deleveraging of our balance sheet while continuing to advance our pipeline of organic growth opportunities. Starting with Slide 5. In Q4, our operations delivered record consolidated copper production of 53,900 tonnes at consolidated C1 cash costs of $2.56 per pound. It was our strongest quarter of the year with respect to production and costs, and that translated into our best quarter of the year from a financial perspective. For the full year 2024, we produced a record 184,500 tonnes of copper at consolidated C1 cash costs of $2.77 per pound, representing a 12% increase in output compared to 2023. Last year was marked by several major achievements at our mines in Chile. After producing first copper concentrates in June at our flagship Mantoverde development project, we achieved commercial production levels in September and the mill ramped up to full rates by year-end within the previously announced $870 million capital budget. This is a significant accomplishment, and I would like to thank our team for their commitment and dedication during the past 3 years in delivering this milestone. To start the year, I'm pleased to announce that in January, we averaged above our nameplate throughput capacity at Mantoverde with a mill throughput of 33,409 tonnes per day. I know that our team is eager to demonstrate what the new Mantoverde sulfide concentrator is capable of and that the team remains hard at work preparing to execute on our Mantoverde Optimized project. Meanwhile, at Mantos Blancos, we unlocked the design mill capacity of the operation through a successful debottlenecking of the back end of the plant, ending the year above design mill throughput in November and December. This continued in January with the third consecutive month achieving above targeted mill capacity of 20,000 tonnes per day. Our finish to the year at Pinto Valley was subpar, but we're laser-focused on progressing our Asset Integrity Program to ensure we consistently achieve the design capacity of the operation. Whilst delivering our near-term growth, we've also advanced our future phases of growth by releasing attractive and executable feasibility studies for the Mantoverde Optimized and the neighboring Santo Domingo projects in the second half of 2024. On the corporate side, during 2024, we took steps to improve our balance sheet, strength and flexibility, marked by a reduction in our net debt by $185 million compared to 2023. Our balance sheet is in excellent shape, and we're committed to deleveraging further through internally generated cash flows prior to our next major phase of growth. Turning to Slide 6. As I noted, this year represents an inflection point for Capstone. In 2025, we're targeting 220,000 to 255,000 tonnes of copper production at cash costs between $2.20 to $2.50 per pound. As we focus on operational execution across the portfolio, we will advance our pipeline of organic growth opportunities to continue the transformation of our business. And with that, I'll pass over to Raman for our financial results.
Raman Randhawa: Thank you, John. We are now on Slide 7. In Q4, we recorded copper production of 53,900 tonnes, reflecting growth of 14% quarter-over-quarter, driven by the growth -- growing production from the ramp-up of MVDP. As a result of seasonal swells at load ports in Chile, copper sales came in below payable production levels by approximately 2,300 tonnes this quarter. The impact of the delayed sales from Mantoverde is approximately $11 million with respect to EBITDA or around $0.01 per share on earnings. We recorded revenues of $447 million in Q4, driven by a realized copper price of $4.04 per pound. That was slightly below the LME copper price average for the quarter. However, on an annual basis, our realized copper price was largely in line with the LME average price, a testament to our QP hedging program. In Q4, we realized strong gross margins of $1.48 per pound or 37%. C1 cash cost of $2.56 per pound decreased by 10% quarter-over-quarter. This was driven by the ramp-up of our Mantoverde sulfide operation, which contributes our lowest cost production, where cash costs decreased from $2.52 per pound in Q3 to $1.83 per pound in Q4. As well at Mantos Blancos operating at nameplate capacity where cash costs decreased from $3.41 per pound in Q3 to $2.30 per pound in Q4. Mantoverde sulfide cash costs should decline even further in 2025 when operating at full nameplate capacity. Adjusted EBITDA in Q4 of $171.9 million nearly doubled year-over-year, driven by higher realized copper prices and copper production as a result of sulfide production ramping up at Mantoverde and Mantos Blancos. Moving on to Slide 8. On the left-hand side, we summarize our available liquidity, which as at December 31, 2024, was greater than $500 million, including $132 million cash and short-term investments and $374 million of undrawn amounts on our $700 million corporate revolving credit facility. Our net debt of $742 million is down slightly from prior quarter with the MVDP capital cost behind us. Over the course of 2024, we have successfully delevered from a consolidated net debt-to-EBITDA ratio of 3.6x at the beginning of the year to 1.5x at year-end. The chart on the right-hand side of the page illustrates our EBITDA sensitivity at various copper prices. The start of 2025 meant a shift from the light gray bar with the 2024 actual EBITDA of $496 million -- $496 million to the turquoise bar, which represents EBITDA in the range of $800 million to $1.3 billion at copper prices between $4 to $5 per pound based on the midpoint of our 2025 guidance. This level of EBITDA generation will enable us to focus on generating cash to delever our balance sheet with a pathway to below 1x net leverage at spot copper prices. This provides a strong platform from which to advance our growth pipeline in terms of Mantoverde Optimized and Santo Domingo. Moving on to Slide 9. We want to provide a breakdown of our operating cost drivers for 2025 to address the potential impact of tariffs on Capstone. Should the threat and tariffs be implemented in the U.S., we estimate that 90% of our 2025 operating costs should not be directly impacted, notably labor, contractors and services, diesel, sulfuric acid and power. On a consolidated company-wide basis, year-to-date, we have seen some positive tailwinds through favorable foreign exchange movements and higher byproduct pricing compared to our guidance assumptions, which position us well so far in 2025. Now I'll hand it over to Cashel for the operations review.
Cashel Meagher: Thanks, Raman. We're now on Slide 10. Pinto Valley produced 11,626 tonnes of copper at a C1 cash cost of $3.30 per payable pound during Q4. After starting the year strong in the first half, Pinto Valley experienced setbacks in the third and fourth quarters that resulted in the mill operating below where we want it to be. Throughput averaged 45,000 tonnes per day in Q4 with unplanned downtime due to electrical and mechanical issues that resulted in 1 of our 6 ball mills being down. This persisted into the first quarter, but we are recently back up with all mills turning. We've guided for 51,000 to 58,000 tonnes of copper production at Pinto Valley in 2025, a C1 cash cost of $2.55 to $2.85 per payable pound. We expect copper production to be weighted towards the second half of the year, driven by grades and throughput with a lower first quarter as a result of the previously mentioned maintenance. We are committed to the implementation of our Asset Integrity Program with the goal of improving the reliability of the plant to drive higher production and lower costs. Moving to Slide 11. Cozamin Mine delivered another solid quarter, producing 6,724 tonnes of copper at C1 cash cost of $1.55 per payable pound. In Q4, Cozamin cash costs benefited from higher silver byproducts and a weaker Mexican peso, which continued to represent a tailwind for 2025. We have guided for 23,000 to 26,000 tonnes of copper production at Cozamin in 2025 at a C1 cash cost of $1.60 to $1.80 per payable pound. Our Mantos Blancos asset had a very strong finish to 2024, as highlighted on Slide 12. Total sulfide and cathode production yielded 13,563 tonnes of copper at C1 cash costs of $2.45 per payable pound. Production and cash costs both improved significantly quarter-over-quarter, driven by a successful ramp-up of the concentrator after the installation of new equipment in July. We are excited to demonstrate the full potential of Mantos Blancos to the market now that we have completed the work required to sustain an average throughput of 20,000 tonnes per day, which has now been achieved for 3 consecutive months. We have guided for 49,000 to 59,000 tonnes of copper production in 2025 for Mantos Blancos, slightly weighted to the second half due to planned maintenance. C1 cash costs are guided at $2.35 to $2.66 per payable pound. As pictured on Slide 13, average sulfide plant throughput was 19,600 tonnes per day in Q4, achieving nameplate throughput capacity in November and December. We continue to see strong performance into 2025 with average throughput in January reaching 20,600 tonnes per day. Even prior to the shutdown in July, we started to see throughput improve as a result of our Asset Integrity Program. Mantos Blancos is 1/3 the size of Pinto Valley in terms of plant throughput. So we expected this program to bear fruit more quickly here. We are continuing to systematically roll out this program at all of our sites to improve availabilities and achieve more consistent performance. Now on to Mantoverde on Slide 14, where it was a transformational quarter and year driven by the continued ramp-up of the Mantoverde development project. Total production yielded 22,029 tonnes of copper at a C1 cash cost of $2.53 per payable pound. Focusing on the new sulfide operation, we posted record quarterly copper production in Q4. Plant throughput averaged almost 25,000 tonnes per day during the quarter. Throughput steadily increased over the quarter to an average throughput of just over 27,000 tonnes per day in December. This improvement has continued into 2025 with the average mill throughput of over 33,000 tonnes per day, exceeding the nameplate capacity of 32,000 tonnes per day in January. Meanwhile, grades continue to reconcile well with the mine and -- mine plan and the block model. We still have a little bit of work left to do on recoveries. We averaged around 85% in December, which took a step back to around 81% in January. Earlier this month, in February, we completed a planned 5-day shutdown, which included liner change-outs on our mills. But we also continue to make further minor modifications to the flotation area to get our recoveries to design levels in the upper 80s. We are targeting to achieve those design recoveries within the first quarter. Copper production and cash costs are forecasted to significantly improve in 2025, driven, of course, by the new sulfide concentrator. We have guided for 97,000 to 112,000 tonnes of copper production at Mantoverde in 2025 at a combined C1 cash cost of $2.10 to $2.36 per payable pound. Q1 is expected to be the lightest quarter due to that planned maintenance and increasing recoveries. As John mentioned, our team is also eagerly awaiting the opportunity to execute on our Mantoverde Optimized project. We are advancing detailed engineering and preparing to start the project as quickly as possible once we receive a DIA permit amendment, which is expected around the middle of the year. We've been encouraged so far by the individual peak daily throughputs in excess of 38,000 tonnes per day, and we look forward to debottlenecking the plant to achieve 45,000 tonnes per day. Now over to Wendy King for the sustainability review.
Wendy King: Thank you, Cashel. We're now on Slide 15 with a review of our sustainability highlights for Q4. Last quarter, we published our 2023 sustainability report, which also included a sustainability performance data book. This includes 4 years of consolidated Capstone data as well as site level data. In 2023, we started to report both our location-based and market-based GHG emissions. And you can see how we started making progress against our 30% reduction target. We continued this progress in 2024, where we have implemented key initiatives such as the electrifying 4 generators and 3 diesel pumps at Pinto Valley, while commissioning the fourth electric rope shovel and adding 2 electric buses at Mantoverde. These initiatives are also examples of win-win opportunities where we believe we will reduce our emissions while also generating cost savings. During 2024, we made significant progress towards our sustainable development strategy goal of implementing the global industry standard for tailings management across all our TSF by year-end 2028. Our internal benchmarking shows us achieving 48% confirmation at year-end 2024, which exceeded our target for the year. I'm personally very pleased that we have published our first responsible sourcing policy that defines our commitment to embedding our sustainability expectations and considerations into the selection and management of suppliers and goods and services. We are very much looking forward to working in partnership with our suppliers to align with our goal of contributing positively to the lives of workers and communities, both close to our sites and around the world where goods are made. And lastly, subsequent to quarter end, in January, we recently signed a 35-year water agreement with the concept to secure long-term water supply by reusing treated wastewater from Antofagasta. This will also reduce marine discharge and increase water recycling at the Mantos Blancos mine. The project involves the construction of a wastewater treatment plant built by a third party and expected to be operational in 2028. And with that, I'd like to pass it back to John.
John MacKenzie: Thanks, Wendy. Turning to Slide 16. We've outlined our key priorities for 2025. This year, we will focus on operational execution across our portfolio. Over the past 2 years, we've been in a period of significant change, building and ramping up mines, and now we will focus on getting the most out of our portfolio. Mantoverde Optimized is another key focus for us. Once we receive the permit, we want to execute on it as quickly as possible as it generates tremendous returns for us. And lastly, we're focused on deleveraging and advancing our pipeline of organic opportunities. Turning to Slide 17. We've outlined those sector-leading growth plans and some of the additional upside within our portfolio. 2025 will build on last year's strong foundation of 184,000 tonnes of copper, and we're on track with the guidance we issued last month. We intend to proceed with Mantoverde Optimized following the receipt of a DIA permit amendment. We filed for the DIA permit mid last year and expect receipt around the middle of this year. We plan to finance this project through internally generated cash flows. MV Optimized has the opportunity to take us up to around 280,000 tonnes of copper per annum on a run rate basis. At Santo Domingo, we continue to progress with the assessment of the optimal financing structure for the project. We're looking at this in a very similar manner to what we were able to achieve at Mantoverde. Included in this, we're running a process to bring in a minority partner at the asset level, which is going well. Before a potential sanctioning decision at Santo Domingo, we also want to see all of our assets operating at or near full production levels and our consolidated net debt-to-EBITDA at below 1x. And of course, we'll also be mindful of the overall macroeconomic environment. The way we see it today, that opens up the potential sanctioning window for Santo Domingo starting in 2026. Santo Domingo has the opportunity to take our production up to a level of around 400,000 tonnes of copper per annum at even lower consolidated costs. Beyond these projects, we are hard at work to unlock further upside across our portfolio with another low-risk brownfield expansion opportunity at Mantos Blancos, additional flexibility in the MVSD district to unlock more copper and potentially byproduct cobalt production and the potential development of another major copper district around our Pinto Valley mine in Arizona. With that, I'll turn to Slide 18 and summarize. In 2024, we realized this first phase of the transformation of Capstone Copper with tangible delivery on our peer-leading growth. We're extremely well positioned to become a leading long-life and low-cost copper producer, playing an important role in supporting the world's decarbonization and electrification efforts. And with that, we're now ready to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Orest Wowkodaw from Scotiabank.
Orest Wowkodaw: Nice to see the progress at Mantoverde here in January. Just curious sort of what your expectation is for achieving sustainable throughput and design recoveries over the next couple of months. It sounds like we should expect some maintenance to impact February and Q1 overall. But curious sort of are we targeting kind of exiting Q1 where we should see both kind of near enough steady-state nameplate?
John MacKenzie: Yes. Thanks, Orest. And certainly, the way you describe it is the way I see it, but I'm going to ask Cashel just to add a little bit more color to that comment.
Cashel Meagher: I guess I just can't go with ditto. But yes, that's what we're anticipating where we are right now with the recoveries we feel like we're getting stable production. As we said, we had sort of a planned maintenance process there for relining the mills. But certainly, with the way the progress has gone, with recoveries to date, we anticipate by the end of the quarter, we'll be up to normal nameplate running. So going well.
Orest Wowkodaw : That's great to see. Maybe shifting gears a bit. With Mantoverde going so well, obviously, Santo Domingo will become more into focus. John, I'm just curious if there is any kind of debt reduction targets ahead of a sanctioning decision that you're thinking about? Or do you think the balance sheet is in strong enough shape that you can push forward with that even in a kind of uncertain copper environment?
John MacKenzie: Yes, it's a good question. Certainly, I would like to see all of our other assets operating at or very near to full capacity, I have confidence in the successful execution of our sort of asset management framework and also be generating cash, be starting to sort of whittle away at our total debt position. Obviously, I spoke a little bit earlier about a net debt-to-EBITDA ratio of below 1 that we're targeting. There's obviously 2 elements to that. One is sort of absolute reduction in our debt, and we've obviously sort of seen that inflection point as we've started moving down, sort of reducing our debt as of this past quarter. But obviously, we're also significantly increasing EBITDA. So that ratio sort of continues to look more attractive. But I certainly want to be in a position where we're comfortable from a lagging -- sort of lagging measure perspective that we are below a 1x net debt-to-EBITDA ratio. And then look, we'll obviously look at the macro environment. I don't think it's quite as straightforward as just saying if copper prices are high, that triggers us going forward with the project. We need to look at what's happening in the general project environment as well. There are some times when it's actually better to launch a project when other people are not doing so in terms of getting favorable contractor rates and better lead times on assets. But I think we sort of see ourselves entering a sanctioning window towards the -- probably the beginning of next year. But that really will involve us looking at the macro environment, looking at our sort of internal environment and just making sure that is the right timing to take the next step with the project.
Operator: Your next question comes from the line of Kate McCutcheon from Citi.
Kate McCutcheon: Just following on at Santo Domingo, you mentioned the sanctioning window early next year. How are the sell-down state talks progressing there? And what is the timing of an update to the market on that?
John MacKenzie: Yes. Thanks, Kate. It's going well. So we started a process towards the back end of last year. We had quite a number of parties that came in into the data room. It's always been our intention to sort of get down to a smaller number of parties because ultimately, this is not quite as simple as just sort of first or highest across the line. It's -- this is -- we're talking about a partnership process for sort of the next 30 or 40 years. So at the end of the day, it's going to involve a negotiation with a very small select group of sort of identified preferred partners. Today, we have -- we've whittled that number down to. We have 6 parties that we're in discussions with. And I think we should be in a position sort of around the middle of the year to sort of provide further update as to where we're at with those conversations. And then in parallel to that, we're also starting to advance other financing discussions in terms of the project financing. But clearly, the 2 are somewhat interlinked. So to an extent, the nature of the party that would come in would also sort of influence the actual final financing structure for the project. I'd also say, Kate, that sort of at the same time, we've got a number of work streams that are happening in parallel. And we're looking at a number of opportunities. I think we've spoken about some revenue-generating sort of synergies. We've got 90 million tonnes of oxides at Santo Domingo. Those are not currently in the base case plan. We're -- that's a big opportunity going forward. We've acquired Sierra Norte late last year. We ultimately intend to incorporate that ore into a Santo Domingo mine plan. And so there's a number of parallel streams of work. We're also looking at opportunities to rather than build all of our own stand-alone infrastructure, seeing where there are opportunities to share infrastructure. And those are all, I'd say, parallel streams of work that are busy going on right now. So a lot on the go, but I think we're very encouraged.
Kate McCutcheon: Okay. That's helpful. And then just on tariffs and the administration. Some of your peers have mentioned some tax benefits possibly, but that's more on the refining side. Are there any tailwinds to call out around capturing perhaps that Comex premium or any tax tailwinds that have been talked about?
John MacKenzie: I think -- obviously, we have the Pinto Valley mine in the U.S. and it might be sort of over the longer term, one could see some sort of potential opportunities arising. But I think in terms of, obviously, the implications of the tariffs right now, one seeing sort of a very significant premium between sort of Comex and the LME. Ultimately, for us, I think it's probably a fairly neutral outcome. We're not terribly exposed to sort of tariffs on input costs for us to the extent that tariffs could impact on global GDP growth, that could be deemed as a small negative. But on the other side, if that triggers additional stimulus in China, that would be a positive. So I think our view at this stage sort of without further information is it's really swings and roundabouts at this stage, and we don't see any impact really on the medium or long-term sort of very positive fundamentals for copper.
Operator: Your next question comes from the line of Daniel Morgan from Barrenjoey.
Daniel Morgan: First question is just on the guidance, which was issued a few weeks ago, could you just maybe expand on what are the key assumptions that are embedded in that guidance, particularly at Mantoverde? And basically, what needs to happen to be at the upper end of the guidance or what might go wrong to be at the lower end?
John MacKenzie: Yes. Thanks for the question, Daniel. And having our President and Chief Operating Officer, Cashel Meagher here with me, I'm going to pass that one across to him.
Cashel Meagher: Okay. I'll do my best. Mantoverde. So obviously, in the guidance, we've guided to copper tonnage of 68,000 to 80,000 tonnes. The sulfide, 29,000 to 32,000 in the cathodes. Our thinking behind that is things can go well. There is the opportunity when we reach the midyear and if we do get our permit, we just stated that for 1 month, we were at 33,000 tonnes a day, and we occasionally hit 38,000 tonnes a day. So there is that opportunity that's not really embedded in that guidance in the back half. That's good because we're a multi-asset portfolio now. And when one asset is struggling, another asset will pick it up. And that's the real fortune that we have with the onset of Mantos Blancos and Mantoverde being ramped up now is we look forward to having 4 assets that are operating in a reliable fashion. So Mantoverde itself, if you sort of take the midpoint of the guidance, that would suggest through the sulfide plant, probably around 30,000 to 31,000 tonnes a day, probably at reserve head grade for the year of 0.77 and sort of in the mid-80s for recoveries. So we feel that's achievable. Certainly, we got off to a good start here now. And certainly, our predictive maintenance is working really well, and we had a successful shutdown and reline. So we're really encouraged how 2025 is shaping up. Did I answer your question?
Daniel Morgan : Yes. That does. But just expanding a little bit. On the cost side of your guidance, could you just talk about what's embedded in it regarding the treatment charges? Have you taken the -- what appears to be a very favorable settlement into account or not?
John MacKenzie: Can I ask Raman just to comment on that?
Raman Randhawa: Yes. I mean our cash costs are reflecting the current TC/RC market in there. So I'd say our budgeted cash cost in there is around $25 a tonne to $30 a tonne. When you look at our concentrate mix, we're 56% benchmark and 44% spot. So then there is opportunity, obviously, in the spot market, close to 0 to negative to beat some of that cash cost. So -- but overall, it's about $25 to $30 a tonne.
Daniel Morgan : And just last question is the Mantoverde Optimized project. What is the latest updated target for an FID? What's the critical path that needs to occur for? I think it was midyear, if I've got that right.
John MacKenzie: Yes, that's correct. So we're currently progressing the detailed engineering on that. We expect that to be complete sort of pretty much around the middle of the year. The critical path item is really receipt of the permit amendment, the DIA. It's not a major permit, but it's obviously we need to have that before we can properly progress. We submitted that around the middle of last year. These things typically take around 12 months. We've just completed responding to the second round of questions that the authorities put forward that normally is a fairly good indicator as to are there any complicated issues or is it fairly straightforward, and I think we were very, very comfortable with the nature of the questions that were being asked. So I think at this stage, we continue to be confident that around the middle of the year, we should get that permit. We're not seeing any red flags at this stage in that regard. But that's really the gating item. It might well be that between now and then we choose to start ordering a few long lead time items. And obviously, we just need to look at where the market is at in terms of lead times on certain pieces of equipment.
Operator: Next question is from the line of Adam Baker from Macquarie.
Adam Baker: Just following up on that MV Optimized. Just on the CapEx guidance, noting that there's none of the CapEx coming through in 2025. When you compare that to the feasibility study at the end of last year, which did include about $100 million in CapEx from memory for the MV Optimized project expansion. How should we think about CapEx from MV Optimized this year, noting that all things going well, permitting will come through midyear. Would you expect to greenlight the project as soon as you get that permit come through? And if so, could CapEx potentially be reevaluated, sorry?
John MacKenzie: Yes. So the capital for the project is $146 million for MV Optimized. The return on it is tremendous. So it is a sort of project which it makes sense to do as soon as we possibly can. And on the basis that we have that permit in the middle of the year and we're able to commence then, I think we -- our current estimate is that we'll probably spend about half of that budget this year and half in the first half of next year. But as you say, that's not currently in our CapEx budget. It's obviously until we've got a project to an approval stage, and that involves having all the permits required. We'll obviously be taking that to our Board, getting approval for it. And obviously, we'll then be sort of notifying of that change in CapEx.
Adam Baker : Yes. Okay. So the $10 million of expansionary CapEx that you currently got there, that would be a couple of long lead items potentially. And then if you do get permitting and Board approval, that has the possibility to increase all things going well?
John MacKenzie: Yes, that's 10. And then if we go there, it would be $62 million more, so it would be $72 million for the year.
Adam Baker : Got it. And Mantoverde ramp-up, it appears to be going really well. Just noticed that your throughput at 32,000 or 33,000 tonnes a day, I should say, above nameplate levels. Can you push that any further? Do you need to push it any further? And is it just recoveries that you're now working on and you're very much comfortable from the front end of the plant perspective?
John MacKenzie: Yes. Well, we've got Jim Whittaker here, who's our Head of our Chile business. So I think he's probably best placed to answer that question.
James Whittaker: Yes. I think as Cashel mentioned before, we've seen some days right at the nameplate. Obviously, we're trying to run higher than that to take care of any sort of downtime that we encounter as we continue to ramp up this plant and find out more about this new plant that we have. We have hit days up into 36,000 to 38,000 tonnes a day. So we're very, very confident on the throughput design of the plant. On the recovery, it's been a bit slower on the uptake. We've been into the high-80s in December into the mid-80s through January. So we're very confident that we're going in the right direction with that as well. So we don't see any major changes to the guidance that we put out with respect to the plan.
Operator: Your next question comes from the line of Paul Hissey from Moelis.
Paul Hissey: I was just hoping you might be able to provide a little bit of commentary or an update on any potential discussions or plans you're having with your neighbors around Pinto Valley, please?
John MacKenzie: Yes. Well, I can give an initial comment, and I'll ask Cashel to sort of add to it. But we've got -- we obviously sort of signed an agreement with BHP around Copper Cities to do some drilling work a couple of years ago. That drilling work is complete and sort of the resource has been remodeled. It basically validated what was there. And since then, we're really just sort of working on a number of option studies that look at what alternative configurations could be of a district development. And that's currently work in progress right now. So we don't have any conclusions from that at this stage. But Cashel, is there anything else you'd want to add to that?
Cashel Meagher: No, we continue to work under that option agreement that John mentioned, sort of in the middle of this year. It's set to expire, but we've extended it once before. Although the way things are progressing, we hope we don't have to. We have a joint committee that is working on what can happen within that region with joining up Copper Cities with Pinto Valley. Obviously, Pinto Valley itself has 1.4 million tonnes, and there's a historic resource sort of at Copper Cities that's close to that also. So it's a tremendous resource, tremendous opportunity to optimize mine plans there. So we're working with that group. It's very cooperative to be able to see what the best way to get the value out of the 2 sites are. And so, all I can say is it's progressing really well.
Paul Hissey: Okay. So hopefully, a little bit more color on that potentially midyear, just taking your comment there about potentially not having to renew the option agreement again. So yes, that's helpful.
Operator: Your next question comes from the line of Dalton Baretto from Canaccord.
Dalton Baretto: Most of my questions have been answered. But John, I think you mentioned infrastructure sharing as one of the work streams around Santo Domingo. And I'm wondering if you can expand on that a little, specifically as it relates to the ongoing JV process, but also as it relates to potential implications on the capital for the project.
John MacKenzie: Yes. Thanks, Dalton. Look, the project has obviously been prepared and submitted on a stand-alone basis. So some of that has been influenced by permit considerations as well. We plan to have build us another desal plant, a second desal plant just because expanding our Mantoverde one would require a permit, whereas we already have a fully permitted desal plant through Santo Domingo. It also involves us building our own port. Now all of these things obviously give us a great deal of strategic flexibility. But one of the issues in Chile that certainly, the government has been quite focused on is, it would make far more sense for mining companies to be sharing infrastructure. And by doing that, it's obviously a lesser environmental impact in terms of number of sites that are impacted, but it's also beneficial from the point of view of generally the cost of these sort of facilities are mostly fixed. And so the higher throughput you get, the lower the unit cost. So I think it's a view that's sort of shared by the industry that there's a lot of benefits in sharing infrastructure. Now there are a number of ports and a number of desal plants that already exist along that coast. So one of the work streams is it obviously behooves us to do this before, we sort of move ahead and build our own, which that is the base case to just assess whether or not there's an economically more attractive option to share infrastructure with another party.
Dalton Baretto: Got it. Okay. And then just maybe one more, and this is almost a housekeeping item here. In your CapEx guidance, there's $80 million for sort of ESG-related projects, I think you call them, tailings, dam upgrades and stuff like that. I'm just wondering, is that going to be sort of a rolling number on a go-forward basis? Is that a onetime thing?
John MacKenzie: No. I think we're in the process of moving all of our sites to GISTM compliance. And some of our sites, Mantoverde is at that already because we've just designed it and built it and we did it in line with those. Other of our tailings facilities that obviously predate those standards, we've got plans to do so. And each of them has got sort of different time periods that it takes to get there. I think probably the longest dated of those is probably Pinto Valley, which is going to take sort of probably 2 or 3 years to get to that point. I think Mantos Blancos is sort of probably 2 years, something like that. So that's the sort of time frame over which we would see that capital recurring. And then, once we're there, we're back to -- it's just the normal maintenance cost of keeping those facilities going.
Raman Randhawa: Yes. I'd say, Dalton, it's going to reoccur for a few years. It might not be at that same clip. So you may see a bit of a tail-off at 80 downwards, but there will be some expenditures like John is talking about.
Operator: [Operator Instructions] Your next question comes from the line of Sam Catalano from Wilsons.
Sam Catalano: I just wanted to ask a little bit on Pinto Valley. Obviously, you've provided a great update of the positive performance from the Chilean assets in January, but you also flagged some of the struggles that Pinto had back end of last year. Just wondering how that's going so far this year and whether or not that you see any risk to your cost guidance, in particular from Pinto?
John MacKenzie: Thanks, Sam. I'm going to ask Cashel to respond to that.
Cashel Meagher: Yes, sure. Thanks, Sam. We have a plan. The plan is developing a proactive maintenance process versus having to react to maintenance unplanned events. And obviously, as that system matures, call it our asset management framework, we become more predictive on especially the older components within a mine. And so at Pinto Valley itself, obviously, most of the asset itself is pretty aged, having been built in the '70s. We're making really good progress there. We did have some unplanned events, obviously, that you alluded to in your question in Q4 and the remedy for that persisted actually into -- through January, as we sort of said in the script. But we've seen our way through that now in February, and we're back up and running with all 6 ball mills. So we do have planned maintenance to happen. That is all considered within the guidance. And so we're sort of meeting the cadence that we believe will arrive at that sort of guidance that we've given to Pinto Valley. So we don't anticipate to lie outside of it. And in that guidance, there is some latitude for unplanned events. So what we hope is we get ahead of them with this asset management framework and this predictive maintenance model. So we have a lot of people working on this. It is the primary focus of the general management there. And we believe that all these efforts we've been putting in over the last year will yield fruit this year.
Sam Catalano : Okay. Just to sort of push on that a little bit more. I guess the sort of reason for the question is it seems like things are going very well in South America. And if I think about the overall company guidance for volumes, 220,000 to 255,000, for the year, it seems so far that the Chilean assets will deliver into that as expected. Would it be fair to say that you guys feel Pinto is probably the biggest risk as you look at that guidance figures into the back end of the year?
Cashel Meagher: Like it's all about predicting the unpredictable. So all planned events are put in, whether it's planned maintenance at Mantos Blancos, Mantoverde and/or Pinto Valley. What I would say is that the guidance reflects the risk inherently built into it. So they -- if you look at the throughput of Pinto Valley and you look at the performance of last year in the first half of the year, which was 54,000 tonnes a day without unplanned interruptions, that exceeds what the midpoint of guidance we put out here is, which is at 52,000. So if you're talking in the context of risk, it's been adjusted in the guidance. If you're talking about it strictly on a comparative basis or a relative basis of do we expect or have we accounted for more unplanned breakdowns at Pinto Valley than our brand-new plant at Mantoverde? Yes, but that is reflected also in guidance. So we've given our best foot forward of what is achievable and what we believe is reliable out of the assets as they sit today with the aim to improve on them year-over-year.
Operator: There are no further questions at this time. I would like to turn the call over to John MacKenzie for closing remarks. Sir, please go ahead.
John MacKenzie: Thank you. So we look forward to updating you in early May with our Q1 results. Until then, stay safe and feel free to reach out to Daniel, Michael or Claire, if you have further questions. Thank you for your continued support, and have a good day.
Operator: This concludes today's conference call. Thank you very much for your participation. You may now disconnect.